Operator: Good day, everyone, and welcome to the Patriot Transportation Holdings, Inc. Earnings Call for the Third Quarter. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Rob Sandlin, CEO and President of Patriot Transportation Holdings, Inc. Sir, the floor is yours.
Rob Sandlin: Good afternoon, and thank you all for being on the call today and for your interest in Patriot Transportation. I am Rob Sandlin, CEO of Patriot Transportation. And with me today are Matt McNulty, our Chief Financial Officer, and Chief Operating Officer; and John Klopfenstein, our Chief Accounting Officer. Before we get into our results, let me caution you that any statements made during this call that relate to the future are, by their nature, subject to risks and uncertainties that could cause actual results and events to differ materially from those indicated by such forward-looking statements. Additional information regarding these and other risk factors and uncertainties may be found in the company’s filings with the Securities and Exchange Commission. For the third quarter results, today, the company reported net income of $1,187,000 or $0.33 per share for the quarter ended June 30, 2023, compared to $771,000 or $0.22 per share in the same quarter last year. Operating revenues for the quarter were $24,253,000, up $752,000 from the third quarter last year due to rate increases, increased miles and an improved business mix. Miles this quarter increased 379,000 over last year’s same quarter, mainly due to improving driver count. Operating revenue per mile was down $0.16 or 3.6% versus last year’s same quarter due to lower fuel surcharges on lower diesel prices, which was reflected in the $1.242 million less fuel cost. Compensation and benefits increased $1,490,000, mainly due to increased driver count and compensation package, including an increase in the driver training pay of $126,000 versus the same quarter last year and an increase in owner operators. Gains on sale of equipment was $432,000 compared to $163,000 gain in last year’s quarter. The operating profit this quarter was $1,499,000 compared to $913,000 in last year’s third quarter. Now on to the nine months results. The company reported net income of $2,147,000 or $0.60 per share compared to $6,720,000 in the same period last year, which included $6,281,000 from gains on real estate net of income taxes. Operating revenue for the period was $70,568,000, an increase of $5,568,000 due to rate increases, increased miles and an improved business mix. Operating revenue per mile was up $0.29 or 7.2%, and the miles for the period increased to $177,000 versus last year’s same period. Compensation and benefits increased $4,692,000 due to the increases in driver compensation, including a $422,000 increase in driver training pay versus last year’s period and increases in owner operators. Fuel expense decreased $802,000 for the period due to declining fuel prices. Insurance and losses decreased $1,022,000 due to lower health and risk claims and depreciation expense was $313,000 lower versus the same period last year. Gains on sale of equipment was $773,000 compared to $642,000 in the same period last year. SG&A increased during the period $787,000 due mainly to bonus accrual and increased travel. Operating profit was $2,703,000 compared to $8,815,000 for last year’s first nine months. Prior year gain on real estate was $8,330,000 due to the sale of our Tampa terminal. Operating ratio for the nine months was 96.2%. Now for the summary and outlook. Over the first nine months of fiscal 2023, we added 42 drivers, which allowed us to add business with new and existing customers and increase our miles. While summer petroleum and cement volumes have been softer than expected, we are confident that our current partnerships will allow continued growth into the future with our efforts to expand our customer base. We will continue to focus our growth with new and existing customers in all segments of our business that will allow us to improve our return on investment. We had $7,400,000 of cash at the end of the third quarter with no outstanding debt. We will have added 73 new tractors during our year. 44 will replace company-owned tractors and 29 are replacing leased tractors with company-owned tractors. We believe replacing the 29 leased tractors with company units will provide a better financial result and is a good use of our cash. We continue to focus on our driver hiring and retention. While the driver hiring market is still challenging, our driver count increased during the year, which allowed us to add miles throughout the period. The training costs increased, but we believe the increased driver count positions us well as we complete the final year – this fiscal year in September and look to continue to improve our results during fiscal year 2024. During the previous year – due to previous driver pay increases, turnover results have been lower among our drivers with one year or more of seniority. However, we still see a higher-than-acceptable turnover in our first year driver. The continued trend of general freight spot rates declining has allowed us to add more owner operators in several markets, and we will continue to monitor and balance with company drivers. In some of our markets, we have reached our driver goal and have cut back on hiring and associated recruiting and training. However, we will closely monitor each location for needed adjustments to our plan on a weekly basis. In closing, our safety goals are on target for the year with the exception of product mixes, and we will continue our efforts to keep preventable incidents and related expenses in check while also staying focused on quality customer service. I am proud of our team’s safety and customer service performance thus far in fiscal 2023 and look to finish the year strong. Thank you again for your interest in our company, and we will be happy to answer any questions.
Operator: Certainly. Everyone, at this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Your first question is coming from Steve Rudd from Blackwell. Your line is live.
Steve Rudd: Hi guys, thanks for the update and a fairly solid quarter. I do have – normally I focus a bit on the trees. I just want to look at the forest for a moment. Can you give me a sense of what the overall competitive landscape is for your industry? And let me just give a little background as to where I want to head or maybe you take it in a different direction. When you had to scale back years ago because of decreased demand, then we increased, such increased driver count and business seems to be picking up. But what do you see a year or two years out as to the level of competitors? Do you have folks who are still exiting the industry and therefore, it gives you an advantage as to being one of the only left standing. I mean give us just a broad view of that.
Rob Sandlin: Okay. So let me – I’ll go back to where you started. I don’t know that our downsizing was because there was less business opportunity. Our downsizing was really driven more by some of the markets that we were in and our inability to hire drivers and make profit in those markets. And then one was where we downsized a large customer just because it wasn’t working out, the relationship wasn’t working out where we could make the return that we wanted. And so that was really the main – those couple of things were the main driver for our downsizing. Obviously, during COVID, there was less business and there was some downsizing while that took place. But I think a lot of that business has returned as we’ve come out of the pandemic. I think it’s really hard for us to speak to what’s going to happen in the marketplace with competitors because I really don’t – we’re one of the few, if not the only public company in this space, certainly totally in this space. And so it’s hard for us to know what their balance sheets and their profits look like. I have to think that our balance sheet is an advantage to us right now with no debt and not having to bear the brunt of increased capital cost because tractors and trailers have increased in price along with paying, what 6.5%, 7%-plus of interest compared to what a couple of percent a year or two ago. So I think that probably bodes well for us. I think the marketplace from a competitive standpoint, there’s still a driver shortage out there. It’s better, but it’s not perfect. And so there’s a lot of added cost as it relates to the acquisition of that driver. And so there’s a lot of cost pressure for us to be able to keep prices up in the marketplace. So from that standpoint, plus, you’re dealing with – you’re still dealing with inflation and a CPI less food and energy that was what 4.8% last month. So typically, that bodes well as far as the pricing in the market so. And if I left something out on there, just go ahead and ask me back anything I didn’t cover.
Steve Rudd: Okay. Sure. I think you covered some of what I’m looking for and I don’t think you left it out I think just my framing of the question. So one of the things that’s of interest is the – and it’s 85%, I think still of your business is the transportation of petroleum. And one might – depending on how you view the world, but one might think, oh, gosh, electric vehicles are coming, demand for petroleum is going to decrease. I think that’s probably correct. However, are we in a position where even in light of a decrease of that potential demand, there are just not other folks to carry the remaining petroleum that must be carried. That’s what I’m headed for.
Matt McNulty: I think – yes. I mean, I think what you’re saying is that there’s always going to be petroleum needed. And so a decline in demand could potentially not hurt us because there’s other folks falling out of the market that we can pick up their share. Yes, but that’s still hard to predict, but we feel like we’re well-positioned to be here for the long-term by far by just listening to other competitors and the way they run their business. There’s typically a lot of debt involved especially in smaller trucking companies. But we haven’t seen any kind of run or rash of closures of our competitors. We’ve seen people moving out of markets like we had done in certain places. But what we really haven’t seen, and there’s no way for anybody to know is we haven’t seen a significant decline in gasoline due to electric vehicles yet. And so we have no way to know when and if that’s really going to come to fruition.
Rob Sandlin: One thing I would add to that Steve is that certainly, we know that electric vehicles are there. How quickly that’s going to have – as the population continues to grow, we’re in the Southeastern United States. And people are moving to Florida, Tennessee, Georgia, Carolinas. So we think market-wise, we’re in a pretty good spot. And I don’t know that we’re going to see near-term demand declines for that reason. Certainly, at some point in the future, we’re all going to have to deal with that in some form or fashion. But that’s also why we’re spending a lot of our time trying to diversify our product offering into dry bulk materials, water and some chemicals. And so we will continue to do that. So maybe that petroleum percentage isn’t quite as high going forward.
Steve Rudd: Okay. And that makes a lot of sense and I certainly noticed that over the last few years. The next part of the question is getting to your earlier comments. You said some – you mentioned that some petroleum and cement revenues were lower than expected. What happened [indiscernible] yes.
Rob Sandlin: Well, I think – yes. We’ve seen a couple of things. Number one, in June, we had just horrible rains throughout our marketplace. We had two weeks of just torrential downpours and raining every day. And so that has an impact on your cement business because they’re not producing concrete for these jobs that are going on out there. It also impacts your petroleum business because people aren’t traveling as much. So we saw that in June, which was kind of unusual. The cement business with housing starts down has just not been as robust as we had projected early on. And so we’re certainly not hitting the miles in revenue hauling those products that we did at this time last year. And so it’s just been a little soft. It’s nothing that’s – it looks to me like it’s just a big ongoing deal. I would just tell you that the summer has just been softer than we had hoped customer by customer, really and across the whole network.
Steve Rudd: Okay. All right – I’m sorry. Go ahead.
Rob Sandlin: We’re good busy right now. So that’s great.
Steve Rudd: I know I mean the revenue numbers and the net number is pretty good. It was less than I thought it would be, but it was pretty good. Let me ask – let me get to my favorite question, driver count, I want to just start with. Was the $126,000 an incremental number in training costs or that was the gross number? And I think when you classified as training pay. Yes. Go ahead.
Matt McNulty: He was giving you the incremental increase from the same period last year that we spent that much more this third quarter than we did in the last third quarter.
Steve Rudd: Okay. And we ended the last year’s quarter, you mean. We ended the last quarter with – well, not the last quarter, but I think at the time of your conference call on May 9 with a driver count of 387. And where are we now, and I think you had identified a goal of 400 and I wonder if that goal has moved at all.
Rob Sandlin: Yes. We haven’t quite made it to 400, but we’re 390. And we’ve got some markets where we’ve kind of pulled back on our hiring because we’ve kind of reached a point where we’re – we’ve saturated the market with the amount of business that we have there, and we’ll continue to monitor those. But we still see some opportunity to move that number up to 400, and that’s what we’re trying to do.
Steve Rudd: Okay. Fair enough. And I’ll ask the last question for now, and if I have another one, I’ll hop back into the queue if there is one. So in terms of your pricing, Rob, the paradigm that we’ve come up with is that as demand increases and as I mentioned, this inflation number going forward, we can both – well, two elements to pricing, of course. So we can charge a bit more. Are we still seeing that we have that pricing power and are we able to put – and I think some were already put into your – for the end of summer, but I’m wondering how the pricing looks going forward.
Rob Sandlin: Yes. It’s – we really have not met with a lot of resistance, especially if we stay in that – just in that, if you use CPI less food and energy, as long as you’re staying in that realm and price range, then I think pricing is pretty stable. I think we’re able to push the pricing along because we did a good bit of that over the last 18 months, two years, depending on the timing. And so – and then on new business, we’re having to see where the market is. And we’ve been pretty successful adding new business this year at what I would say are favorable freight rates.
Steve Rudd: Okay. All right. All right. Well, terrific and as always, thanks for the hard work. If something else pops up, I’ll press star one.
Rob Sandlin: Appreciate the question. Thank you.
Operator: Thank you. Your next question is coming from Steven Dennis [ph]. Your line is live.
Unidentified Analyst: I’m the one in Zurich and Sarasota. I went to visit your truck as it was delivering. I had a great time. You guys are really curious. You have a safety supervisor who was fantastic. Your truck driver was very dedicated. I’m pretty impressed, and I got a feel – a little feel for the company. Now I truly know what Florida rock is. I was thinking about that. Here I am a shareholder, and I really wasn’t – really up to what Florida rock, to watch them deliver the diesel and the gas. And my question to you is, how are you going to get your story out?
Rob Sandlin: Well, I think that’s a good question. It’s something we’ve talked about. We really up until recently in this year, we weren’t – didn’t think we had a great story to go out there and tell. We were trying to fix things as we’ve told you and others. We had rightsized the company. We were coming out of COVID. And so that’s something that we’re talking about now. How are we going to get out and go to whether it’s an investor conference or whether we go do a road show. And so that’s something that we’re trying to determine the best timing to go do something like that. And certainly, I think our numbers are moving in a lot better direction to be able to do that without giving anything specific.
Matt McNulty: We don’t have anything specific yet, Steve, but it will be on the radar as we close it through this fiscal year.
Unidentified Analyst: Thank you. It was really – it was an interest – it’s like a 45-minute delivery schedule and it was very interesting. I like doing this kind of stuff. I like to know something more about the companies I invest in.
Matt McNulty: Well good. Thanks for doing that.
Rob Sandlin: Appreciate your interest.
Unidentified Analyst: Well, thanks again.
Rob Sandlin: Thanks again.
Operator: Your next question is coming from Christian Olesen from Olesen Value Fund. Your line is live.
Rob Sandlin: Hello, Christian.
Christian Olesen: Thank for taking the question. Hey there. Sorry, I had to jump on the call late, so apologies if someone already asked this before, but I think you’ve previously mentioned that many of your mom and pop there have been very aggressive in some of the backlog and rates they offer to customers. Have you seen any change in that?
Rob Sandlin: I don’t know that I’ve seen any real change in their behavior at times. I mean, obviously, we’ve raised our driver pay up a lot. We’ve raised our pricing up. Their costs are up, our costs are up. So they’ve had to raise their prices or they’d be losing money every day. So they got a little bit different cost structure and they don’t have the same return on investment criteria maybe that we do. But the other thing that’s maybe changed is the customer base a little bit. When you go through a situation where drivers are in short demand and getting your products hauled is – becomes a premium. Some of those customers have chosen to partner with people that they know they’re going to be there with them for the long run and have the wherewithal the stomach pandemic or stomach a driver shortage and also continue to provide them with quality service. So I don’t know if it’s so much what our competitors mindset is, is maybe what some of our customers’ mindset is and maybe a combination of those two things.
Christian Olesen: Okay. And you mentioned they have a little bit different cost structure, the smaller competitors. How so?
Rob Sandlin: Well, what I mean by that is that usually those are family run operations, and they’ve got two or three family members in there running the business. And frankly, cash flow becomes keen for them really. And so depending on what your size is, obviously, if you get up to 100 truck operation or 200 truck operation, that’s a different story. But if you’re a small 15-truck, 20-truck operation and you’re trying to sell the same customer that we are, you can probably be a little lower priced than we can because you’re not – you’re trying to – that’s a little different model than what we are. We’re trying to provide a return on investment. We’re trying to invest for the future. And sometimes, they’re not really doing that or maybe they’d love to be doing that, but they just can’t. So it’s really all over the board from that perspective.
Christian Olesen: Okay. So that sometimes they may just be trying to make a little bit of money in the short run.
Rob Sandlin: Yes.
Christian Olesen: And how about your larger competitors? Any change in their behavior?
Rob Sandlin: No. I think the market is pretty stable right now. And obviously, it’s trucking and transportation. And as you’ve seen in the dry van business, I’m sure those of you that follow it, their business is a lot more cyclical than ours from a pricing standpoint. Those spot rates that you keep hearing about in that segment of the trucking industry are depressed right now, and they are probably the highest they’ve ever been during the driver shortage and during the pandemic. And I heard stories of container freight going Savannah to North Georgia quadrupling in price. Well, we didn’t see any of that kind of stuff in our business, but we also don’t see what they’ve seen now is they’ve seen their prices come back down probably close to where they were pre-pandemic on the spot rates. So it’s just a little more predictable from that standpoint. And so I think what I’m seeing out there is a fairly responsible marketplace.
Christian Olesen: Yes. Have you seen any financial distress or increasing desire to sell in the industry? Tank truck industry in particular.
Rob Sandlin: No, not really. And again, it’s really hard for us to see what’s going on with their financials because we’re really not the only public guy out there. So generally, you don’t know that one of these companies is in trouble until they’re really in trouble.
Matt McNulty: Somebody buys them.
Rob Sandlin: Somebody buys them or they try to sell, and they’ve waited too long. It’s just hard to know what – and I have to believe these interest rates are causing pain points for some folks that – are need to buy equipment and having to finance their equipment along with inflation hope. Trailer prices – petroleum trailer prices were up probably $30,000 over pre-pandemic numbers. That’s a big number.
Christian Olesen: Yes. And you have ongoing dialogues with some of these operators. I think that the reason you have so much net cash on the balance sheet is because you’re hoping to be able to make some acquisitions at some point. Are you in – do you try generally to be in dialogue with other operators? And are you aware of any M&A that’s taken place in the tank truck industry in the last year or so?
Rob Sandlin: I know a couple of them. Most of the M&A activity I’ve seen have been in the Chemical segment in small regional carriers. There’s not been very much in our market, in our area. Certainly, we’re in dialogue. I mean, we’re members of National Tank Truck and I’m actively involved on the board there and all of our competitors and people in the industry, especially the larger ones are a part of that, and some of the smaller regional folks. So we’re not shying away from acquisition opportunity. We just – we have – and we’ve looked at a couple of things, but we just haven’t seen anything that was the right fit for the right amount of money at this point.
Christian Olesen: Yes. And do you or the Board plans to continue to have this much cash on the balance sheet for the foreseeable future? Or I mean if you don’t see any M&A opportunities over the next months or a year or so, do you think that it’s something the board will consider returning money to shareholders?
Rob Sandlin: I would have to ask the Board that. I haven’t had any discussions about that. So we just have to go back to the board on that one. But I wouldn’t anticipate that. I mean we want to run our business and just keep doing what we’re doing. And hopefully, there’s an opportunity down the road for us. And we’ve distributed a lot of our cash already, I think, over the last two, three years. I can’t really answer what the board wants to do with that.
Christian Olesen: Got it. All right. Thank you very much.
Rob Sandlin: Thank you.
Operator: Thank you. Your next question is coming from Jason Ursaner. Your line is live.
Jason Ursaner: Good afternoon.
Rob Sandlin: Jason, how are you?
Matt McNulty: Jason, how are you?
Jason Ursaner: Good. Good to hear some other voices on the call here too. Just kind of adding some things together. I mean you mentioned spending a couple of years with the driver shortages, the pay increases. You’ve had a lot of issues you have to work through with the pandemic and everything. And you had the question about getting your story out there. Just like overall, I mean, do you feel like you’ve kind of turned the page on some of that stuff where given maybe – I think you called the market a little more predictable. But given some predictability, are you in a position now where you kind of have consistent profitability kind of throughout the year and kind of a new – again, just kind of turning the page on that story of the last couple of years that you guys kind of successfully navigated?
Matt McNulty: So I think you and I talked a couple of years ago. We were kind of going through what’s the plan, what’s – how will we know? And so it’s short to answer your question, yes, I think we kind of – we feel like we’ve turned the corner. The things that we talked about back then were instead of driver count going down. It’s going up. Rate per mile is continuing to go up. Our miles are starting to go in a positive direction versus the negative. So those were the key targets we were looking to turn around. And all of those have happened in this kind of the second, third quarter of this year. And we do kind of see a stable market at this point, unless it’s something that we don’t know about right now rears its ugly head.
Rob Sandlin: Yes, this is Rob. I would say – and we’ve been talking about what our game plan was for even right before COVID started as we were downsizing on a big piece of business that we had. And we did all that. And then obviously, we got – I think everybody got to deal with the pandemic. But I think coming out of that, the game plan that we’ve put together seems to be working. And we’ve partnered with some really good customers out there who we appreciate a lot that also understand that we’ve got to make a return on our investment. And frankly, this kind of goes back to the EV question we had earlier, the number of convenience stores and truck stops that are being built, there’s a lot of them. And we’re growing our business with some of our partners that are adding those stores and have pretty aggressive plans to grow them even more. And so we feel like as we continue to add driver capacity that we’re not really in any position to have to search wide and far for business. We feel like the partnerships we have are strong. And sure it’s a market-by-market question. And is it the right driver capacity for the business that’s coming on at that time. But we feel like we’ve kind of gotten to where we’ve done what we wanted to do. And now what we’d like to do is just slowly grow the business. And if an opportunity comes along to use our cash to take in a strategic acquisition then we’ll certainly do that as well.
Jason Ursaner: Okay, great. Appreciate the comment. That was it. Thanks.
Rob Sandlin: Thank you. Thanks for the question.
Operator: Thank you. [Operator Instructions] Your next question is coming from Bruce Olephant from Oppenheimer. Your line is live.
Bruce Olephant: Thank you. Guys, congratulations on another great quarter.
Rob Sandlin: Thanks, Bruce.
Matt McNulty: Thanks, Bruce. Hope you’re doing well.
Bruce Olephant: Thank you. The question I wanted to ask you is that two, three quarters now, we have $0.60 a share in earnings. And I was wondering – I got a little mixed up on the call because I think you said something like you began the quarter sort of on a weak note, and then you said that it’s picking up. And I just wanted to – if you could just elaborate on what you see during the quarter.
Rob Sandlin: I don’t want to overcomplicate that. I think it was really – what we saw during June was just – was mostly weather related. And I think Florida this year has been a little softer on petroleum business, and it could just be as simple as it’s been really, really hot. And so maybe it’s just an unusually slow summer. It’s not – we’re not sitting around with nothing to do. We’re just – there’s times we’re not running at 100%. And then on the cement side, that business has been slower than we had hoped, and we were really kind of hoping for some growth opportunity throughout this year. And we’ve kind of changed our marketing focus in the last four, five months on that side of our business. And so we’re getting out there and talking to more people in more areas, more terminals, more markets to try to grow that business because we have some trailer capacity that we can grow that into. So I wouldn’t take that comment as though it’s something that we see as a long-term thing because we’re – the last week or 10 days, we’ve been pretty darn busy. So I wouldn’t read too much into that.
Bruce Olephant: The other thing is that as far as the seasonality of your earnings go, right, would you say that the first – that the fourth quarter is more like the first and second quarter?
Matt McNulty: Say it again, the first quarter more like the what?
Rob Sandlin: The fourth quarter.
Bruce Olephant: In other words, would you say that your fourth quarter earnings is more like your first and second quarter as far as seasonality goes?
Rob Sandlin: So from a seasonality standpoint on miles and revenue, our fourth quarter is typically closer to our third quarter, but our business will fall off some in September, so it may not be quite as strong. Kind of the same thing on your second quarter where January, February aren’t great, but then March really goes high level for us on a volume standpoint. So I’d say there it’s fairly similar, but you’ll have one month in there that’s a little softer compared to the summer what would be the third quarter.
Bruce Olephant: So you’re saying that your third quarter is traditionally your best quarter, followed by your fourth.
Rob Sandlin: Yes, yes.
Bruce Olephant: So what I’m saying this is because on a trailing 12 basis, your earnings per share right now is at $0.73. So it’s – in other words, it’s – we can make a forecast there about it rather easily that the company will finish the year better than $0.73 in earnings?
Rob Sandlin: We’re going to let you do the forecasting. We don’t normally do that, but we’ll provide you as much information as we can.
Matt McNulty: More factors to process than just revenue and miles. So your costs matter, too, and those are not necessarily always completely the same because we might have gains on sales of equipment. We might have insurance actuarial gains to book or losses.
Bruce Olephant: And your book value right now is at about $11 a share.
Matt McNulty: It’s 9.70.
Rob Sandlin: Yes, I saw that earlier today. I think John wrote it done when you said.
Matt McNulty: $9.58.
Rob Sandlin: $9.58.
Bruce Olephant: Okay. All right. Guys, thank you very much and keep up the good work.
Rob Sandlin: All right, thank you.
Operator: Thank you. There are no further questions in the queue.
Rob Sandlin: Okay. Great. Thank you. We appreciate your interest in Patriot Transportation and look forward to talking with you next quarter.
Operator: Thank you, everyone. This concludes today’s event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.